Operator: Good day, and welcome to the Third Quarter 2019 US Ecology Inc. Earnings Conference Call. [Operator Instructions]I'd like to now turn the conference over to Eric Gerratt. Please go ahead sir.
Eric Gerratt: Good morning and thank you for joining us today. Joining me on the call this morning are Chairman and Chief Executive Officer, Jeff Feeler; Executive Vice President and Chief Operating Officer, Simon Bell; and Executive Vice President of Sales and Marketing, Steve Welling.Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As forward-looking statements include risks and uncertainties actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include but are not limited to those disclosed in the company's filings with the Securities and Exchange Commission. Management cannot control or predict many factors that determine future results. Listeners should not place undue reliance on forward-looking statements which reflect management's views only on the date such statements are made.We undertake no obligation to revise or update any forward-looking statements or to make any other forward-looking statements whether as a result of new information future events or otherwise. For those joining by webcast you can follow along with today's presentation. For those listening by phone you can access today's presentation on our website at www.usecology.com. Throughout yesterday's earnings release and our call and presentation today, we referred to adjusted EBITDA pro forma adjusted EBITDA and adjusted earnings per share. These metrics are not determined in accordance with Generally Accepted Accounting Principles and are therefore susceptible to varying calculations. A definition calculation and reconciliation to the financial statements of adjusted earnings per share adjusted EBITDA and pro forma adjusted EBITDA can be found in Exhibit A of our earnings release. We believe these non-GAAP metrics are useful in evaluating our reported results and our 2019 guidance.With that, I'd like to turn the call over to Jeff.
Jeffrey Feeler: Thank you, Eric, and good morning, everyone.I'll start this morning's call with an update on our pending merger with NRC Group Holdings before moving onto a few summary comments on our third quarter results released yesterday. At that point I'll turn it over to Eric for some additional details on our financials and then close out the call with an update on our outlook for the remainder of 2019 and a few brief comments on 2020 before opening up the call for questions.As we announced yesterday or actually as we announced in our joint press release with NRC Group Holdings on October 23rd both sets of shareholders approved the pending merger in an overwhelming fashion and the closing to occur tomorrow November 1st.We are excited to bring these two companies together by harnessing the experience and expertise of each organization and believe we'll create a true leader in the environmental services industry. As I will cover later in this call and discussed in our release yesterday we are providing US Ecology's view of what NRC could contribute in the final two months of 2019.Since both companies have been operating separately as independently publicly traded companies these statements reflect more limited financial and operating data that would normally have if companies have been already merged. As a result there will likely be questions that we'll be unable to address. We have provided expanded reconciliations in our press release to be as transparent as we can with our assumptions.Turning to US Ecology's third quarter results yesterday, we reported an impressive quarter delivering $167.4 million in revenue an 11% increase over the third quarter last year driven by 7% organic growth and 4% from acquisitions.This strong performance resulted from a 14% increase in revenue from our environmental services segment driven by continued strength in both our base and event business. Base business once again exceeded our internal expectations growing 11% over the same quarter last year.As expected, base business saw more volume going into our disposal network contributing to its 32% growth the second quarter in a row of 30 plus percent increases. Our field and industrial services segment saw 2% quarter-over-quarter growth primarily reflecting recent acquisitions that have not yet cycled excluding the impact of these acquisitions. Revenue in our field and industrial services business was down from the 5% from the prior year.We have seen some softness in our industrial services business particularly in those markets aligned with the metals industry vertical. We also saw lower revenue from our total waste management business line as larger projects in 2018 have not reoccurred at the same level in 2019.Our remediation business is down primarily due to timing of projects but we still believe we will achieve our original outlook for the year with an expected strong fourth quarter. Nonetheless these headwinds are masking the strong results in our small quantity generation business led by our retail Lab Pack and LTL service offerings all of which grew in excess of 20% during the quarter as well as gains in our transportation and logistics business.Overall, we delivered pro forma adjusted EBITDA growth of 16% over the same quarter last year. We recognized approximately $2.6 million of business interruption recoveries associated with our Idaho facility during the quarter reflecting claims submitted for the periods from the incident to March 31st 2018.As we work through the complex negotiations to claim the additional business interruption and recoveries due to us we now expect that the recovery is anticipated for the remaining open periods are likely to be received in 2020. Overall I'm extremely pleased with our third quarter results and the trends that we're seeing in our business and we are on pace for a record year at US Ecology.With that, I'll turn it back to Eric.
Eric Gerratt: Thanks Jeff.As shown on Slide 8, revenue for the third quarter of 2018 was $167.4 million up 11% from $151.4 million in the third quarter of 2018. Revenue for the environmental services segment for the third quarter was $122.2 million compared to $107.2 million in the third quarter last year. This growth was driven by a 19% increase in treatment and disposal revenue partially offset by a 2% decrease in transportation services revenue.As Jeff mentioned base business for the environmental services segment was up 11% compared to the third quarter last year and represented 75% of treatment and disposal revenue. Event business for the ES segment increased 32% from the third quarter of last year and represented 25% of treatment and disposal revenue.The field and industrial services segment delivered revenue of $45.2 million in the third quarter of 2019 up 2% from $44.2 million in the third quarter of 2018. The increase primarily reflects our Field Industrial Services Group based out of Dallas and Midland Texas that was acquired in the third quarter of 2018 as well as our Field Industrial Services Group in Sarnia Ontario acquired in August of 2019.Excluding these acquisitions FIS revenues were down 5% from the third quarter of 2018 driven primarily by lower total waste management remediation and Industrial Services activities in the third quarter of 2019. As Jeff mentioned, these declines were partially offset by increased revenue on our small quantity generation business.Slide 10 breaks down our Environmental Services Treatment and Disposal revenue for both base and event business by industry verticals. Base business increased across nearly all verticals with the largest increases occurring in the transportation broker TSDF and chemical manufacturing verticals.These increases were partially offset by a decrease in the metals manufacturing vertical. The increase in the event business was primarily driven by increases in the transportation metal manufacturing and government industry verticals.Turning to Slide 11 gross profit was $56.5 million in the third quarter of 2019 up 20% from $47.3 million in the same quarter last year. Our Environmental Services segment contributed gross profit of $49.4 million in the 3rd quarter compared to $39.9 million in the same quarter last year.Environmental services gross profit benefited from approximately $2.6 million in business interruption insurance recoveries related to the Idaho facility, which were recognized in the third quarter of 2019. Treatment and Disposal margins were 47% for the third quarter compared to 43% in the third quarter last year.Gross profit for the Field Industrial Services segment was $7.2 million down from $7.4 million in the third quarter of 2018. Gross margin was 16% in the third quarter of 2019 compared to 17% in the third quarter last year. Selling general and administrative spending or SG&A was $33.3 million in the third quarter of 2019 compared to $23.6 million in the third quarter of 2018.This increase was partially due to $4 million in business development expenses primarily associated with the pending merger with NRC as well as increased labor and incentive compensation increased property taxes and higher intangible asset amortization.Operating income was $23.2 million in the third quarter of 2019 compared to $20 million in the same quarter last year. Operating income for the third quarter last year included a $3.7 million goodwill and intangible asset impairment charge on our mobile solvent recycling business.Net interest expense for the third quarter was $3.7 million compared to $3 million in the same quarter last year. The increase was the result of higher outstanding debt levels in the third quarter of 2019 due to the acquisitions completed in 2018 and 2019.The company's effective income tax rate for the third quarter was 33% up from 20.2% in the third quarter last year. The increase is primarily the result of business development expenses in the third quarter of this year that are not deductible for income tax purposes.Additionally the effective rate for the third quarter of 2018 was favorably impacted by the implementation of tax planning strategies that resulted in one-time favorable adjustments to prior year income tax returns. Excluding the business development expenses our effective income tax rate for the third quarter would have been approximately 28%.We reported net income of $13.1 million and diluted earnings per share of $0.59 in the third quarter of 2019 compared to net income of $13.4 million and diluted earnings per share of $0.61 in the third quarter last year.Adjusted earnings per diluted share was $0.75 in the 3rd quarter of 2019 compared to $0.71 in the 3rd quarter of 2018. Pro forma adjusted EBITDA which excludes business development expenses was $41.5 million for the third quarter up 16% from $35.8 million in the third quarter last year.Turning to results for the first nine months of 2019 on Slide 12, total revenue was $454.2 million compared to $408.4 million in the first nine months of 2018. Revenue for the Environmental Services segment for the first nine months was $327.4 million which was up 12% compared to $292.6 million in the first nine months of last year. The Field Industrial Services segment delivered revenue of $126.9 million in the first nine months of 2019 up 10% compared to $115.8 million in the same period of 2018.Net income for the first nine months of 2019 was $36.6 million or $1.65 per diluted share compared to $35.9 million or $1.63 per diluted share for the first nine months of last year. Adjusted earnings per share was $1.64 for the first nine months of 2019 compared to $1.67 for the first nine months of last year. Pro forma adjusted EBITDA was $103.1 million for the first nine months this year compared to $92 million for the first nine months of 2018.Our free cash flow was $35.6 million for the first nine months of 2019 and includes $10 million of property insurance recoveries as well as approximately $2.3 million related to the Idaho facility rebuild. Free cash flow for the first nine months of 2019 also reflects the $6.7 million in business development expenses primarily related to the NRC acquisition.Our balance sheet remains strong with net borrowings of $334.5 million as of September 30th 2019 and a leverage ratio of approximately 2.4 times based on the low end of our revised 2018 guidance range.With that, I'd like to turn the call back to Jeff.
Jeffrey Feeler: Thank you, Eric.As we look to the final quarter of 2019 we continue to see positive momentum in the underlying business and expect to end the year on a very strong note. I'm going to address our outlook by separating into two components US Ecology stand-alone operations and the expected contribution from NRC.Looking at US Ecology on a standalone basis as you can see on Slide 15 we are raising the bottom end of our EBITDA guidance range and now expect the core business to deliver pro forma adjusted EBITDA from $140 million to $145 million. This strong performance will be led by continued strength in our Environmental Services segment in both base and event business.We now expect base business to finish the year with growth ranging from 7% to 9% for the full year above our previous guidance range of 5% to 7%. Our event business is expected to grow approximately 20% for the full year. Our Field and Industrial Services business is expected to see similar headwinds to those experienced in the third quarter of 2019 with the metals and auto industry verticals masking strength in other areas of the business.Our guidance also takes into account some cost headwinds with regard to increased costs of our property and casualty insurance programs reduced business interruption recoveries hitting in 2019 from what was anticipated earlier in the year and increased incentive compensation as our internal financial targets are expected to be exceeded. Revenues for US Ecology are now expected to range from $621 million to $643 million.When combining US Ecology's business outlook with the expected contribution from NRC we expect pro forma adjusted EBITDA will range between $153 million and $158 million for the full year a benefit of approximately $13 million from NRC. Revenue is expected to range between $691 million and $713 million.We are revising our adjusted earnings per share guidance for the full year of 2019 to reflect the increased operating performance of US Ecology the addition of NRC and the dilutive impact of the incremental 9.3 million common shares and the assumed warrants and other equity instruments expected to be issued in connection with the merger.The newly issued common shares and the dilutive impact of the assumed warrants and other equity instruments are expected to result in approximately 1.5 million additional dilutive shares for the two months in which they'll be outstanding in 2019. As a result we now expect our adjusted earnings per share for the combined company will range from $2.12 to $2.26 per share for 2019 which reflects a dilutive effect of approximately $0.15 per share for equity issued and assumed in connection with the merger.This compares to our previous guidance range of $2.09 to $2.41 per share. Given the number of moving parts impacting adjusted earnings per share guidance I refer those interested parties to the reconciliations included in our earnings release to see the components of this guidance and the assumptions made for preliminary depreciation and intangible amortization interest costs and share counts to arrive at the anticipated guidance.Shifting gears to capital expenditures. We expect total capital spending for the merged company to range between $62 million and $67 million for 2019. US Ecology's capital expenditures are to approximate $52 million to $57 million a reduction from our previous guidance of $55 million to $60 million as several projects will move into 2020.As we look to 2020 we continue to see positive signs for growth for the US Ecology business. We are still working through our budgeting process and completing our strategic plans but we continue to look for growth in 2020 pending any major shifts to the macro economy.These factors in headwinds, we are expecting to see on the cost side with insurance labor and the lingering impacts of our idle facilities as we continue to rebuild. As we look to NRC's business we continue to see growth opportunities in the domestic Environmental Services business standby business and international operations.The Sprint segment which operates in the oil and gas markets will likely be most challenge and challenging to predict given the early stage of ramp of the two recently constructed and opened Permian-based landfills that are not ramping as quickly as expected when we announced the deal back in June and also due to what appears to be the onset of softer market conditions and business activities in the region.While we have learned a great deal about NRC's business since we've announced the transaction we continue to operate as two independent companies. Therefore understandably there were limitations in what could be shared and reviewed between the two companies. Following the completion of the merger we look forward to taking a deeper dive into all aspects of the business and strategy.We remain bullish on the business and the underlying assets and the long-term return potential. We plan to provide more guidance on NRC's overall contribution as we can complete our budgeting process and create our detailed guidance plan for February 2020.In conclusion, I can't be more excited about where US Ecology is positioned and the future potential for our company. Our core assets are delivering what should be a record year for US Ecology in terms of revenue pro forma adjusted EBITDA and adjusted earnings per share.And with this without considering the contribution from NRC we continue to strengthen our strategic position of the company with tuck-in acquisitions that enhance our geographic regions and through our deployment of high-return on capital growth projects such as our smarter investment that will bring artificial intelligence and automation to the classification of retail waste providing us with a true differentiation in the retail service line.Further, we have fundamentally transformed the company again with the NRC assets. This will strengthen our market presence add complementary service offerings and open up new waste verticals that will provide our combined shareholders many growth opportunities. I expect when we look back at 2019 several years down the road we'll see this as a pivotal year for US Ecology's evolution.With that, operator, will you please open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Michael Hoffman with Stifel.
Michael Hoffman: Jeff, Eric, gang, Happy Halloween. Nice trick instead of a treat or nice treat instead of a trick. Base growth 11% how much of it's organic and how much of it was a deal rollover?
Eric Gerratt: So, Michael, when we see the base end of that calculation it is all organic so the acquisitions don't come into the calculation until we've cycled them so that 11% is all organic.
Michael Hoffman: So well then that begs the sort of - - was a concentrated in an end market or a region was there some and that's just exceptional?
Eric Gerratt: Yes, it was it was really fantastic and as you look at it across the verticals business was up in almost every vertical the only one that was significantly down was on the metal side all the rest of them were up.
Michael Hoffman: And as you think about the underlying outlook into the 2020 are we more prudent about going back to a long-term the three to five you usually talk about and as a starting place? I mean with all the macro debt I don't think we're going into an industrial recession but there are pockets of industrial recession in the country and a slower growth but it's hard to hard to make a case.
Eric Gerratt: Yes, I think, Michael, we're early and we're in the middle of our budgeting process. But I would tell you that that, yeah we're going to probably be looking more to the normalized range in that 3% to 5% going into 2020 is what I'm seeing at this point but more to come.
Michael Hoffman: And then Jeff on the NRC, you do a deal you look at it a set of data that you can look at you put some numbers out there. So originally you talked about a potential 2020 contribution of $120 million of adjusted EBITDA from them, how does that number changed relative to what you suggested we pursue specifically around E&P?
Jeffrey Feeler: Yes, Michael, that's a good question. I mean we've learned a tremendous amount about the NRC business since we announced the deal a lot of our teams in the field working on integration plans. All of that but you know again we've only been able to trade so much financial and operational data back and forth and when we look at 2020 for NRC.We continue to see positive developments in the domestic Environmental Services business the standby services business the international businesses these are the businesses that do the emergency response the standby oil spill response and the light industrial cleaning and activities.The headwinds that we're seeing right now going into 2020 is and what they called the Sprint segment or which services the Permian and Eagle Ford. Oil plays - construction delays two new landfills that are operational now occurred during the year and given this current market conditions in the Permian Basin right now they haven't ramped as quickly as that they had hoped on their overall market conditions are expected to be down and they have been trending down this year in that region as well as expected to be down next year. So when we look at this, this is the area that we see some headwinds going into post merger area.Of the $120 million of EBITDA that we gave about 35% was expected to be generated from the three operating landfills and there is about 15% that was expected it would be around services around the area.So it's a large piece of it but it also is one that we think that we can strongly execute on and still deliver strong performance in that area, so all in. We still remain extremely bullish with the deal. We're going to just be entering a little bit new market dynamic on the onset of the transaction as we look to 2020.
Michael Hoffman: So I mean that's some $40 million and the original Karnes County was probably about 25 to 30 of that was expecting Reagan and Pecos to ramp and at a pace of something that looks like seven to 10 each. So where - is Karnes coming down as well. So the Eagle Ford soft as well as the Permian or it's just that the Permian is not ramping?
Jeffrey Feeler: Both markets are down, real rigs are down, trending down, have been trending down throughout the year and they are projected to be trend to be down in 2020 in both fields or both basins.
Michael Hoffman: Right. So at this point the 120 is no longer the 120 at something less or do you think you offset it by strength in the other pieces?
Jeffrey Feeler: Yes, we're expecting it's going to be less than the 120.
Operator: [Operator Instructions] And our next question comes from Tyler Brown with Raymond James.
Tyler Brown: Just so I have it clear, so we're looking at the legacy US Ecology Inc business you raised the guidance revenue 621 to 643 and EBITDA 140 to 145, that's right?
Jeffrey Feeler: Correct.
Tyler Brown: So it sounds like base business is really strong. You obviously raised the revenue but it isn't really pulling through to EBITDA. My hunch is you're coming in a couple of million light on BI from this year that you versus what you expected and maybe incentive comp is a few million dollar of headwind.
Jeffrey Feeler: Yes, in terms of the BI, you're correct, we aren't going to bring in as much as we expected this year probably in the $1 million to $2 million range. So that is correct in terms of the BI.
Eric Gerratt: The incentive compensation, Tyler, you're very close. It will be a couple of million dollars or so of Q4 hit as part of it. The other thing that's in there as we renewed all of our property and casualty programs which we saw a fairly sizable increase that was partially driven to the claim that we have in Idaho but also just overall market conditions that most carriers are experiencing on renewals and pass it along to their customers.
Tyler Brown: And on BI, were you expecting something like five for 2019 basically.
Jeffrey Feeler: Yes. So year-to-date through the nine months we've done a little over $4 million and BI claims related to Idaho. So yeah coming into the year and when we did our guidance we talked about the $3 million to $5 million EBITDA drag related to Idaho which was net with what we estimated we're going to get in BI. So yeah we're probably again a $1 million to $2 million short of what we expected coming into the year. So despite - other parts of the business have made that up in terms of what we're doing with guidance.
Tyler Brown: Yes, I hate to split hairs, but so into 2020 though that can be a wash, year-to-year because you're likely going to receive in 2020?
Jeffrey Feeler: Correct. We will definitely expect for that shortfall this year to carry over into 2020 and likely will have additional claims as we go. Until we get back up to full speed on the facility.
Tyler Brown: And I think Jeff you mentioned it's somewhere in the press release which I need to look around but the Q4 share count and in the 2020 share count just pro forma?
Jeffrey Feeler: Yes. So for the full year 2019 working with issuing it's about 9.3, 9.5 million shares for the NRC acquisition. And when you do all the dilutive counts for the full year it's about an additional 1.5 million shares for the year, it's around six million additional dilutive shares just for the standalone fourth quarter but then as we go into next year it will take the full year till we cycle the acquisition for the full dilutive effect to hit but it's about six million shares to Q4 stand-alone and about 1.5 million shares for the full year for 2019.
Tyler Brown: It gives me a good jumping-off point. And then I do apologize. So NRC is still a bit of a black box to me, but I just want to be clear so of the 120 you said that 35 was held in the landfills and basically 15% were in other services in the region. Is that right?
Jeffrey Feeler: That's correct.
Tyler Brown: I'm just curious, what do those other services entail generally?
Jeffrey Feeler: There is some transportation there is some rentals there is some other oilfield type platform plays in those regions but then the other services has to do with treatment of biological waste from the various fields out there.
Tyler Brown: And then just maybe as you think to 2020, can you give any idea for 2020 D&A and specifically how D&A actually split.
Jeffrey Feeler: Yes, we're still working through that Tyler. I would tell you that based on what we know today and we have a lot of work to do so on purchase accounting related to the NRC acquisition. But if you look at the guidance and right on the press release we give the guidance range for EBITDA and you can see in there what the D&A and the amortization of intangibles for US Ecology are.I expect those are going to be pretty close for next year. And as a proxy for NRC, you're seeing a cup only two months worth for the NRC business in 2019 and if you annualize that that's going to get you pretty close based on what we've got today.
Tyler Brown: And then similarly on CapEx just any, I thought maybe NRC was going to have CapEx down into 2020 could be wrong on that but just any potential look at 2020 CapEx combined?
Jeffrey Feeler: Yes, right now Tyler we don't have a good view of 2020 CapEx. There is a lot of things that we're going to have to get in to determine where we're going to make investments and where we're going to deploy capital and it's a little too early to come up with a number on that.
Tyler Brown: And then my last one here probably likewise a difficult question, but from a tax perspective, so any idea on a normalized tax rate and were there any NOLs or anything in the deal that will change your cash tax position just generally speaking?
Jeffrey Feeler: Yes, so NRC does have some NOLs. We've modeled and assumed and still doing studies and works around how many if any of those survived acquisition because a lot of those get wiped out with change in ownership so we've assumed that none of those are going to carry over for now. But if you look out for what we think for the balance of this year we're probably in that 29% effective rate including NRC business which frankly would be kind of my best guesstimate for next year as well.
Tyler Brown: Okay. And more or less a full cash tax there?
Jeffrey Feeler: Correct.
Tyler Brown: I know lots of details to work out. So we will be looking forward to those, but I appreciate the time.
Jeffrey Feeler: Sure.
Operator: [Operator Instructions] And at this time, I'm currently showing no questions in the queue.
Eric Gerratt: Great. Well, thank you, for all those that attended the conference call today and we look forward to updating you on future progress in the coming months. Thank you.
Operator: Thank you. Ladies and gentlemen that concludes today's teleconference. You may now disconnect.